Operator: Good morning. My name is Jodi, and I will be your conference operator today. At this time, I would like to welcome everyone to the Keyera Corporation 2016 Year End Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Director of Investor Relations, Lavonne Zdunich, you may begin your conference.
Lavonne Zdunich: Thank you, and good morning. It's my pleasure to welcome you to Keyera's 2016 year-end conference call. With me today are David Smith, President and CEO; Steven Kroeker, Senior Vice President and CFO; Brad Lock, Senior Vice President, Gathering and Processing Business Unit; and Dean Setoguchi, Senior Vice President, Liquids Business Unit. In a moment, David will provide an overview of the year followed by an operations update from Brad and Dean. Steven will then provide additional information about our financial results. We will open the call for questions once we complete our prepared remarks. Before we begin, however, I would like to remind listeners that some of the comments and answers that we will be providing today speaks to future events. These forward-looking statements are given as of today's date and reflect events or outcomes that management currently expects to occur, based on their belief about the relevant material factors, as well as the understanding of our business and the environment in which we operate. Because forward looking statements address future events and outcomes, they involve risks and uncertainties that could cause actual results to differ materially. Some of these factors and uncertainties include general economic market and business conditions, fluctuations in supply demand inventory levels and pricing of natural gas , ngls, iso-octane and crude oil; the activities of producers and other industry players; our operating and other costs; the availability and costs of materials, equipment, labor and other services essential for our capital projects; contractor performance; counterparty risk; governmental and regulatory actions or delays; competition for among other things; business opportunities and capital; and other risks as are set out more fully in our publicly-filed documents available on our website and SEDAR. We encourage you to review the MD&A, which can be found in our 2016 year-end report published yesterday and is available on our website and on SEDAR. With that, I'll now turn it over to David Smith, our President and CEO.
David Smith: Thank you, Lavonne, and good morning everyone. While 2016 was a challenging time for our industry, Keyera had another successful year. Both our Gathering and Processing and Liquids Infrastructure business segments delivered record financial results in 2016. Our capital investment program has expanded our infrastructure and continues to generate cash flow growth. The marketing segment also contributed to Keyera’s performance, but results were reduced compared to the very strong results in 2015. This was due to the 8-week turnaround at Alberta EnviroFuels and lower margins for iso-octane in 2016. Overall, I am very pleased with Keyera’s performance. In 2016, we delivered adjusted EBITDA of $605 million, distributable cash flow of $460 million, and net earnings of $217 million. With confidence in our strategy and our industry, we increased our dividend 6% during the year. Since going public in 2003, Keyera has delivered 15 consecutive dividend increases and an 8% compound annual growth rate in the dividend per share. Steven will speak more about our financial results later in the call. Looking ahead, we are beginning to see indications of an industry recovery. Compared to a year ago, commodity prices have improved by approximately 50%, and the active drilling rig count in the Western Canada sedimentary basin is up over 60% year-over-year. The number of well licenses in the Western Canada Sedimentary Basin has increased by over 40% in the last three months, compared to the same three-month period a year ago. And the recent current land sale in Alberta was the strongest since October of 2014. At Keyera we're beginning to see increased activity in several areas, particularly around our Simonette gas plant. We continue to make good progress on Keyera’s growth projects and opportunities. We have three significant joint-venture projects; the Norlite pipeline, the South Grand Rapids pipeline, and the Base Line Tank Terminal that are well underway and nearing completion and will begin generating cash flow in the next 6 to 12 months. I am pleased to report that costs on these major projects are trending lower than originally budgeted. Beyond these projects are a new Keylink NGL gathering pipeline system, the liquids handling expansion project at the Simonette gas plant, our new land position in the Industrial Heartland, and the proposed Wapiti gas gathering and processing complex all represent exciting new growth opportunities for Keyera. With that, Brad lock will now discuss our Gathering and Processing business unit.
Brad Lock: Thanks David. The Gathering and Processing business unit delivered a record operating margin of $290 million in 2016, representing an increase of 12% over the prior year as we are generating incremental cash flow from capital projects bought online midway through last year, and incremental ownership interest in our gas plants. For the year, gross throughput volumes decreased by 4% to 1.43 billion cubic feet per day, due to the combined effects of less drilling activity around our facilities given the low commodity price environment, natural decline rates of existing wells tied into our gas plants and curtailments on third-party sales gas pipelines. In the fourth quarter, gross average throughput volumes were 1.36 billion cubic feet per day consistent with the volumes recorded in the third quarter. As David mentioned, we are optimistic as we look ahead into 2017 based on the early signs of a recovery emerging. In November, as NGL prices improved, our producer return their volumes back to Rimbey after diverging a portion away earlier in the year. With the increased capital budgets and drilling plans in 2017, several producers have recently contracted for incremental gas processing capacity at a few of our gas plants. One of our partner customers Bellatrix announced their intent to invest in increased drilling and completion activities in 2017. Assuming their drilling proceeds as planned, throughput at Keyera’s Minnehik Buck Lake and Brazeau River gas plants could increase throughout the year. Keyera is also encouraged by the robust drilling activity in the Montney geological zone where volumes at our Simonette gas plant have remained stable in spite of the low commodity price environment. To meet the growing needs of our customers here we are proceeding with the project to expand the liquids handling capability at the Simonette gas plant. Upon completion of this project, the condensate handling operational capacity at Simonette is expected to be approximately 27,000 barrels per day. Based the current estimates and schedule, we expect to complete the project by mid-2018 at an estimated cost of $100 million. This project is intended to maximize producers’ netbacks by increasing liquids recoveries at the facility and in turn providing long-term growth opportunities for Keyera. Regarding the potential Wapiti gas plant project that we announced in May, regulatory’s for the acid gas injection well were received and front-end engineering work was completed in the fourth quarter of 2016. The current estimated cost for the Wapiti project, including gathering is approximately $625 million for the ability to process up to 300 million cubic feet per day of sour gas and 25,000 barrels per day of field condensate. We are continuing to work closely with our customer towards sanctioning of Phase 1, which would consist of 150 million cubic feet per day of processing capacity, the associated gathering system, and an acid gas injection well, for an estimated cost of $470 million. Keyera is also negotiating with other producers in the area to commit additional volumes. I will now turn it over to Dean, to discuss the Liquids Business unit.
Dean Setoguchi: Thanks Brad. The Liquids Business unit also performed very well in 2016. The liquids infrastructure segments operating margin was a record $246 million, up 12% over the prior year, primarily due to contributions from projects completed in 2015, including the KFS frac expansion completed in May and growing volumes through our industry-leading condensate network. Over the past several years, Keyera is continued to focus on developing major strategic projects that are expected to provide Keyera with sustainable growth and long-term fee for service revenues to enhance shareholder value. As David mentioned, over the next 6 to 12 months, the Norlite pipeline project that will deliver diluent from the Fort Saskatchewan area to the oil sands, the South Grand Rapids diluent pipeline project between Evington and the Fort Saskatchewan area, and the Base Line Terminal crude oil storage project will begin to generate cash flows. To add to this gross growth profile, we recently approved the construction of a new NGL gathering system called Keylink, which provides customers with a safe, reliable, and economically improved alternative to trucking NGL volumes across central Alberta. Keylink will consist of over 240 kilometers of both newly constructed and repurposed pipelines for an estimated cost of $147 million. The system will transport NGL mix from several Keyera gas plants, including Brazeau River, West Pembina, and Minnehik Buck Lake, to our Rimbey gas plant or fractionation in the specification products. From Rimbey NGLs can then be moved by pipeline to either our Edmonton rail terminal or our Fort Saskatchewan fractionation storage complex. We are pleased with the progress we have made with our engineering work, as well as our regulatory and construction plans. Our goal is to have Keylink operational in mid- 2018. Keyera will also be considering a number of future growth opportunities given the recent acquisition of approximately 1,300 acres of land in the Industrial Heartland area near Fort Saskatchewan. The property is located adjacent to our Josephburg rail terminal, which is connected with multiple pipelines to our Fort Saskatchewan fractionation and storage complex. It is already zoned heavy industrial with proximity to both major Canadian railways. In addition, Keyera owned [indiscernible] rates under much of the acreage providing flexibility to develop underground storage caverns. Our marketing segment generated operating margin of 101 million in 2016 or 137 million before unrealized gains and losses. Propane, butane, and condensate all contributed positively to the segment's results though to a lesser extent than 2015. Iso-octane contribution was lower year-over-year. Yearly sales volumes were down over 15%, primarily due to the scheduled four year maintenance turnaround that lasted from early September to early November. Iso-octane margins were also lower due to weaker gasoline prices and lower iso-octane premiums in the second and third quarters of 2016. In contrast, iso-octane premiums were considerably high during the same period in 2015. For the fourth quarter specifically, iso-octane sales volumes represented roughly half the productive capacity of the facility, because in addition to down time during the turn around, it takes time to return the full operating rates, build inventory, and transport the product by rail to markets. Looking ahead, the future for the Liquids Business unit is very positive, as we complete a number of capital projects underway, advanced work on the Keylink pipeline, and continue to develop new opportunities for future growth. With that, I’ll turn it over to Steven to discuss the financial results in more detail.
Steven Kroeker: Thanks Dean. As mentioned earlier, we had a successful year with both of our infrastructure segments generating record results. Our performance over the past year is a reflection of Keyera’s integrated value chain, as well as our customer oriented approach. Not only did our assets perform strongly, but our operating cost savings initiatives improved the customers economics as Keyera’s gas processing operating fees are substantially structured on a flow through basis. When assessing this year’s financial results it is important to recall that last year's results included a non-recurring cash gain of approximately $40 million on the settlement of risk management contracts associated with 2014 year-end inventory. Adjusting for this non-recurring gain in 2015, 2016 adjusted EBITDA of 605 million was approximately 9% lower than in 2015. Making the similar 2015 adjustment, 2016 distributable cash flow of 460 million was 4% higher than in 2015. Distributable cash flow in 2016 benefited from significantly lower cash taxes $15 million versus $88 million, and lower long-term incentive plan cost 16 versus 32. On a per share basis, distributable cash flow per share for 2016 was $2.56, which is slightly lower than in 2015 once the non-recurring hedging gains backed out. Keyera announced the 6% dividend increase in August 2016 and continue to have a concretive dividend to distributable cash flow payout ratio averaging 60% for 2016. Net earnings for the year were 217 million, compared to 202 million in 2015. Consistent with Keyera’s growing business, general administrative expenses, depreciation and amortization expenses, and financing costs increased year-over-year 2016 net earnings also reflect a lower foreign exchange losses on US debt, lower long-term incentive plan expenses, and a net impairment expense of 12 million. The net impairment expense of 12 million for 2016 reflects $45 million write-down of Keyera’s investment in the sulphur handling fertilizer project at the Strachan gas plant, and the $33 million recovery to reverse previous impairment losses associated with the Brazeau River and West Pembina gas plants. The recovery is possible because of new gas gathering systems that increase throughput at the plants. In 2016, Keyera invested 502 million, mainly in our liquids infrastructure segment to advance our three joint-venture projects. Acquisitions during the year totaled 190 million and included an additional 35% interest in the Alder Flats gas plant in Bellatrix. With respect to 2017, we now plan to invest between 600 million and 700 million, which includes growth capital for the newly approved Keylink NGL gathering system and the Simonette Liquids Handling Expansion. In addition, maintenance capital’s forecast to be between 30 million and 35 million in 2017, cash taxes for 2017 are estimated to be between 5 million and 10 million. Keyera estimated tax pools at December 31, 2016 were approximately $2 billion. Keyera continues to benefit from a healthy balance sheet as reflected in its covenant net debt to trailing EBITDA multiple of 2.67 times. Keyera also continues to benefit from a low payout ratio and strong participation in its dividend reinvestment plans. That concludes my remarks David, back to you.
David Smith: Thanks Steven. As our 2016 results demonstrate, demand for Keyera’s products and services continues to be strong and I am pleased with our performance. We continue to strengthen our competitive advantages and position the company for growth. We have successfully reduced operating costs in our gathering and processing business segment by 13% year-over-year. We strengthened our balance sheet and continued to focus on operational excellence. We have a strong foundation and I am optimistic about the future given the early indications of recovery, our major capital projects well underway, together with our recently announced new projects, and other business opportunities that we continue to evaluate. On behalf of Keyera’s Directors and management team I would like to thank our employees, customers, shareholders, and other stakeholders for their continued support. With that, I’ll turn it back over to the operator. Please go ahead with questions.
Operator: [Operator Instructions] Your first question comes from Linda Ezergailis from TD Securities. Your line is open.
Linda Ezergailis: Thank you. I’m wondering if you could provide us with some more details around the commercial attributes of Keylink and your expected returns. Are there any third party contracts or agreements specifically underpinning that, and how quickly would you expect volumes and contributions to sell out from that and what the basis of those commitments to volumes might be?
Dean Setoguchi: Hi Linda this is Dean. We don’t disclose the specific returns of our products, but essentially what we are accomplishing initially with Keylink is we are tying in eight of our gas plants and with that we are mainly replacing volumes today that are being moved by truck - NGL mix that is being moved by truck to our fractionation sites, mainly at Rimbey. Again, this is a much safer and economically advanced means and reliable means of transporting our NGL mix to the Rimbey plant, and we can fractionate it there. It is pipeline connected to our Edmonton rail terminal, so again we can move product out of that terminal, or we also have the flexibility to move it by our pipelines up into our Fort Saskatchewan fractionation storage complex. But in addition to our eight plants, we are actively working with a number of producers at other facilities to handle their volumes as well through this pipeline system. We have nothing to announce at this point, but we are encouraged with the discussions that we’ve had.
Linda Ezergailis: So the initial economics would be the delta between the cost of shipping by pipe versus truck and not fully falling in third-party producer volumes would fill it up or is there an ability to kind of expand the capacity to accommodate future producer volumes?
Dean Setoguchi: Yes, we do have extra capacity to handle more volumes to the system. So, it would not be operating at anywhere near full capacity at the beginning and we would be able to have the ability to add additional pumping at future stages if we want to add more capacity in the future as well.
David Smith: Linda it’s Dave here, just to clarify, the economics on the pipe are based on the tariffs that are charged either directly or indirectly on the volumes that are going through the pipes. The advantage for our customers is that those tariffs would be lower than what the trucking costs are today. So the economics aren’t based on the delta they are based on the actual tariffs that are charged down as volumes.
Linda Ezergailis: Okay, but for Keyera volumes would be presumably the delta. Anyway, sorry just to move on, can we talk a little bit about the liquids handling expansion and how we might think of the economics of that, without getting too specific?
Brad Lock: Certainly. Linda this is Brad. So the Simonette liquids handling expansion serves a couple of purposes, one it allows us to enhance liquids recoveries at the plant by moving more ratably products out of the facility, and secondly it allows us to handle increased volumes of un-stabilized condensates that our producers are developing in the field. A lot of those volumes are actually underserved by existing contracts that they plan to ramp up over the next little while, but there is still potential to add new volumes to that to provide additional revenues.
Linda Ezergailis: And will that be fully contributing to its potential instance service or should we expect to see a bit of a ramp over time?
Brad Lock: I would expect to see a ramp over time. We were certainly building capability into that to handle future volumes, as well as existing contracted volumes.
Linda Ezergailis: Great. Thank you.
Operator: Your next question comes from the line of David Noseworthy of Macquarie. Your line is open.
David Noseworthy: Great thank you very much, maybe I can just start off on Keylink and - had a couple of questions there, did you provide a capacity of the new Keylink system, and in terms of shippers generally sort of numbers that you're expecting?
Steven Kroeker: I don't think we have, I think it’s premature to give you that kind of an indication David. We can probably do that at some point down the road once some of the commercial arrangements are a little bit more finalized. In terms of capacity it’s a little bit of a difficult number to pin down because it’s not a single pipeline, it’s sort of a network of pipelines connecting a number of different plans. But we may be able to provide you with, a better volume indication down the road, but not at this point.
David Noseworthy: Okay. And then in terms of the assets that you are going to repurpose, does that have any impact on EBITDA like is there a bit of like taking EBITDA out here and adding it through the Keylink, or is this all 100% incremental?
David Smith: It should be 100% incremental. The pipelines that we are repurposing aren’t in use today.
David Noseworthy: Okay alright. And then in terms of the Wapiti plant, I think before earlier in 2016 there had been some sort of expectation of reaching a final investment decision sometime in Q1, is that still the timeframe we're aiming for or is that moved?
David Smith: I think we are certainly still hopeful of a Q1 sanctioning decision. We're working closely with our partner to get all the conditions put in place to allow that to happen, but it’s a large project with significant commitments from both sides, so it’s certainly complex to get there, but we’re certainly hoping for a Q1.
David Noseworthy: Fair enough. And then in terms of when you reach a FID, is there an expectation of securing third-party volumes before that or is that kind of maybe that'll happen, maybe it won't happen, but it’s not necessary for FID?
David Smith: I think if we can reach an agreement with our original partner, we can FID the first train on those volumes and I think incremental third-party volumes would allow us to sanction the second train.
David Noseworthy: Perfect. Last question. Keyera highlighted that capital cost for Norlite and Grand Rapids baseline are coming below budget, can you remind us who assumes like capital risk on those projects and therefore who benefits from the lower budgeted capital cost?
David Smith: Baseline terminal the benefit goes to us. The Norlite pipeline the benefit would go to us as well and so was last one Grand Rapids you asked about?
David Noseworthy: Yes.
David Smith: Ultimately those would be to our benefit.
David Noseworthy: Perfect, thank you very much.
Operator: Your next question comes from the line of David Galison of Canaccord Genuity. Your line is open.
David Galison: Good morning. I want to thank you for taking my question, so just on the Gathering and Processing segment your commentary is very encouraging, just wondering, kind of considering the improvements that you're seeing in the drilling activity and also in the context of your turnarounds for the year, how should we think about volumes improving throughout the year?
Brad Lock: This is Brad, we don't provide guidance on volumes going forward. I think it’s safe for us to say we are encouraged by the drilling activity that is taking place. So we are hopeful to see growing volumes as the year goes on, but we don't provide any guidance on that.
David Galison: Okay and then just on the - in the context of the current commodity pricing environment, how are you thinking about your hedging strategy for 2017, is it going to be roughly similar or are you going to think about making any changes to it?
Dean Setoguchi: I guess, I’ll take that one David, our strategy and our objectives haven't changed. With respect to most of the products, our intent is to protect the value of the inventory for the most part. With respect to the iso-octane margin, what we're trying to do is look forward and protect the margin using - protect the elements of the margin that we can actually hedge and I’m speaking specifically about the arb spread over WTI and the butane feedstock cost. And we inform ourselves with sort of the benefit that we have of understanding the fundamentals on both sides and so we will go out as much as 12 months and in some cases more, but at the same time we’re some more opportunistic about the timing of putting those hedges in place. You can read the amounts in the financial statement note.
David Galison: Okay. And then just one more question on the cost reduction, you were able to secure about 13% this past year, are there still opportunities out there that you are evaluating or you pretty much reached the potential there?
Brad Lock: I think we continue to look for offering cost opportunities through 2017. We're certainly very pleased with the achievements that we’ve made in 2016 and we're going to focus on trying to enhance those in 2017. It will be a little hard to say what’s going to happen with supply cost as the industry starts to recover, typically when the industry recovers the cost per goods and services starts to climb a little bit as well. So, we need to - preserving what we have is a good result as well.
David Galison: Okay, thank you very much.
Operator: Your next question comes from the line of Ben Pham, BMO. Your line is open.
Ben Pham: Okay thanks, good morning. I wanted to continue on the question on Keylink and I wanted to clarify, I may have missed it and I think Linda was trying to ask this too, but is the Rimbey utilization on the frac side, do you anticipate that to increase with Keylink or is that NGL mix already there via truck?
Brad Lock: A lot of the product today is moving by truck into Rimbey, but we do hope to - with that - it is a more, again it is a more reliable and economically feasible means of moving NGLs into Rimbey, so we are hopeful that we can attract more third-party volumes into that system, which would mean more volumes coming into Rimbey over time.
Ben Pham: Okay, thanks for clarifying that. And …
David Smith: Ben it’s Dave here. I would add, you might recall two years ago we expanded the frac capacity at the Rimbey and so we've got some room there, but in addition, if we are successful with building volumes as Dean described with Keylink we always have the option to move the NGL mix up the Rimbey pipeline into our Fort Saskatchewan fractionation capacity. So, getting the NGL mix to Rimbey by pipeline gives us a lot of options.
Dean Setoguchi: And at Rimbey we have about 28,000 barrels of fractionation capacity there.
Ben Pham: Okay. And then the banks on some of the lot of acreage you're picking up, was that driven by a specific industry event that occurred the last few months or you have been eyeing something for a long time strategically?
Brad Lock: I will think that one. The land is a parcel that we've had our eye on for quite some time. It was most recently owned by Sasol and their intent had been to build a gas to liquids facility using the proprietary technology, but I think they concluded that the economics didn’t support that investment. So, we were able to arrange a deal with them to take that land off their hands. We don't have a specific plan for the site at this point, but it is right in the middle of the industrial heartland adjacent to our Josephburg site. There is a number of options that we’re looking at. I wouldn't say there is anything eminent, but with the advantages of the site that Dean described, I think we're pretty excited of what the long-term potential is.
Ben Pham: Okay. Maybe I can ask a last one on the quarter specifically and with marketing. There is commentary about just selling the line of the delay in that between iso-octane production and sales volume, but with the results your sales volumes did increase year-over-year, so it looks like there's something else that you are moving through the quarter and benefiting from. But it didn't really show on the results at all. So, I was wondering if you could provide a bit of color on that?
Brad Lock: Ben, I am not sure we understand the question.
Ben Pham: I was wondering why you mentioned I think Brad that iso-octane production there is a mismatch between that and some of the sales volumes you are moving down south. Just because the line sale wasn’t picking up, and so I would think that your sales volumes that you’ve recorded in Q4 would have been at least tempered relative to last year. So, it seems like you might have been moving propane or quantity or something else driving the volumes higher. But the margins were still relatively contained.
Brad Lock: Yes, I mean if you're looking at - you are probably looking at our table on the second page of our quarterly report and those sales volumes would represent all liquids and certainly a large proportion of that would be propane, which is a low margin product, and obviously iso-octane we moved, we sold relatively few barrels of iso-octane during the quarter, so on a relative basis, most of the product is represented by propane.
Ben Pham: Okay. I guess you did not benefit from the bit of the spike in December than on the pricing side? Or propane?
Brad Lock: A lot of our propane sales volumes we would have recognized in January and into February.
Ben Pham: Okay, got it. Okay. Alright, thanks for taking my questions.
Operator: Your next question comes from the line of Rob Hope of Scotiabank. Your line is open.
Rob Hope: Yes Good morning. Just two questions, first I want to follow up on the Sasol piece of land, it is a very large piece of land really incentivized the Fort of Saskatchewan on top of some large diameter pipelines. Are you looking to do some more heavy industrial large infrastructure projects there, potentially may be looking at some additional iso-octane PDHs or something of that scale for that piece of land?
David Smith: We are certainly open to opportunities that would answer and be consistent with our current business plan. So, we do like the opportunity to extend our value chains and some of the types of projects that you described are things that we may consider. We have demonstrated that we are good partners so we do have a number of joint venture situation, so sometimes those situations may present opportunities as well to develop on that land. But we do think it is one of the best pieces of developable land in the industry heartland, again we're very excited about it.
Rob Hope: Great. And then just to maybe ask one final question on Keylink. So, when you're connecting those eight plants into Rimbey it’s my understanding that at least a couple of those plants would already have NGL pipeline connectivity, so is the expectation there to move some of those volumes away from the third-party pipeline and back into Keyera's Rimbey plant?
David Smith: Yes there was a couple of issues. A, we do believe that we provide a competitive alternative in those situations. Second of all, there are some capacity constraints in the competing system, and so I guess there is restrictions as to how much of the product they can actually take without further capital investment as well. And again in some of the facilities, the couple of facilities that you're talking about, some of that product is moving up by truck today because of that.
Brad Lock: I think the short answer is, yes. We do expect that some of that volume will come of that pipe.
Rob Hope: Okay that's helpful. One cleanup question, you mentioned some new contracts that you had signed up with producer customers for G&P. Any terms of magnitude you can provide to us?
Brad Lock: This is Brad. I wouldn't say they are meaningful in size. The more significance think is the sign of industry recovery, as we went through 2016 there wasn't a lot of producer activity and there wasn't a lot of volume commitment. So, having producers even step up with any new incremental volumes is a positive sign in today's environment. So that’s really the encouragement that we see out of that.
Rob Hope: That's my question, thank you.
Operator: Your next question comes from the line of Patrick Kenny of National Bank Financial. Your line is open.
Patrick Kenny: Hi good morning guys, just back to the Simonette expansion and tying in the conde barrels into the piece pipe line, just wondering if can comment on whether or not this initiative replaces your previous vision of building your own NGL pipeline network down into the Fort and if not, what sort of NGL volume do you need to see in order to justify building your own pipe?
Brad Lock: Well, I will talk to the Simonette and maybe I'll turn it over to Dean on the NGL pipe. Really the project that we're doing here is really irrespective of delivery pipelines, so what we’re trying to do is actually satisfying customer needs for raw condensate processing and maximizing the NGL production out of the raw gas that’s coming in, so that’s what the project that we’re proposing here.
Dean Setoguchi: And Pat, I mean, we don't talk a lot about projects that we’re working on, but certainly pipeline into that area would be something that would be of interest to us and we always look at that opportunity to expand our business but that would be some that would be attractive.
Patrick Kenny: And just to confirm on the Wapiti plant for Phase 1, would Phase I be able to process half of the 25,000 barrels a day of field condensate as well?
David Smith : The base design of the Wapiti plant includes a single condensate stabilizer, so the stabilizer would be built for the full 25,000 barrels a capacity.
Patrick Kenny: Great. Just one final question here on the marketing business, I appreciate the comments with respect to iso-octane margins, getting back to 2014 levels, and not to get too granular on marketing guidance here, but just if you can comment directionally on any other moving parts across the other products or perhaps on sales volumes relative to 2014?
Dean Setoguchi: Pat, maybe I’ll take that, I think our sales volumes continue to grow as we expand facilities and add more capability and capacity to our network. It allows us to continue to grow volumes. I think you have seen that in the volumes, the marketing sales volumes as we report them. With respect to iso-octane, particularly the second half results for iso-octane were fair bit lower for the reasons that we’ve explained, but as we look at 2017, as we sit here in mid-February, you know things are certainly looking like stronger than what we saw through 2016, and the plant itself is performing very well. So, we’re optimistic.
Patrick Kenny: Okay, great. Thank you very much.
Steven Kroeker: Stephen here, the only thing I would add to that is that we do provide financial note in the financial statements and that gives you a little bit of indication as to where the forward marketing is looking for in terms of arb hedges and how much we have hedged there. So, I again I just - should be able to inform your decisions there, thoughts there.
Patrick Kenny: Great, thanks Steven.
Operator: Your next question comes from the line of Robert Kwan of RBC Capital Markets. Your line is open.
Robert Kwan: Good morning. I guess maybe just coming back to Keylink here, in essence is your confidence in moving forward here really just the function of, they are your plans so you know the NGL volumes come at the back of it and you knowing the trucking rates, and so kind of as you put that together, any capital investment that you are making that there is sufficient cushion remaking, good money and deliver better service to the customers.
David Smith: I couldn’t describe it any better, Robert. You sit my chair.
Robert Kwan: Well, I guess than that comes to the question of why now? Is it because you are seeing growing liquids hitting the plants, has it been waiting service levels from third party providers, what has caused you to kind of get to the point where you can make this investment given kind of those dynamics in general have been out there for some time?
David Smith: One of the components we haven’t talked about is that, we are certainly seeing a period now, it is a good time to construct and we certainly believe we can construct this pipe and we’ve looked at it for a long time and never have we had the confidence to build this pipeline system for this kind of price level, certainly anytime in the last several years. So, we think it is the right time to build. We certainly like the facilities that we are going to be adding to this system. The discussions that we’ve had with also third parties that we think we could detract over time to bring volumes to that system. So we just believe for those reasons, now is the right team to put it into place and again generate more business over time.
Robert Kwan: Okay.
Brad Lock: Robert I will add that - I think your assessment is correct though that we certainly are seeing stronger volume in this area and a stronger outlook for future volumes at this point, maybe than what we would have seen three or four, five years ago. The throughput volumes at Brazeau River and West Pembina are up considerably, the Zeta Creek Plant is new and I would also add that the liquid composition of the gas in the area has been increasing as well because of the zones that the producers have been focused on. So, all of those are contributing to a stronger volume outlook, as well as the factors that Dean mentioned.
Robert Kwan: Understood. If I can maybe then tie Keylink back to an answer you had earlier of directionally still being interested in delving a longer liquid system into the Fort, should we think of Keylink as a prevail of a larger system? It is quite a bit for their self of where at least alps was initially envisioned?
Steven Kroeker: Today, the vision of Keylink is to connect most of our existing gas plants and bring that volume into Rimbey. There is always a possibility that we could move into a northern system if we thought that that was something that was more economically feasible in anyway, but today it’s strictly a system that’s designed to bring barrels into Rimbey.
Robert Kwan: Okay and maybe just last on this topic, is it fair that because with the Simonette you are intending to tie it into piece that really that should maybe be assigned that there is nothing eminent with respect to any headway you might be making on your own liquid system coming out of the same area?
Steven Kroeker: I wouldn’t conclude that Robert. I think the other pipeline, the other liquids pipeline that we are talking about it still something we are working hard on, but even if we were to give that a go ahead right away it would still be at least two years away in terms of commissioning. I think Simonette would certainly be part of our plan for liquids pipeline into that area, but today the only alternative is piece.
Robert Kwan: Got it. And maybe I will just finish with, your outlook on butane, if you think about it every other medium to longer term, do you have comments on the isobutane project in Bellevue and do you see this as a start of a bit of trend as we saw investment just as all of kind of the NGLs start to come of whether that was things to solve ethane and then infrastructure to solve propane, do you see this now kind of expanding within the butane complex?
David Smith: I would say through a much lesser extent because the butane feedstock is obviously more expensive than the propane and I would say it’s not quite as long as propane. But if you look at enterprises project, they are just basically building feedstock, they are not actually alcolade out of it, it could be used for number of different other finished products. So, I think that’s - what they are doing is, they are anticipating probably further demand for products like alcolade in the future is given maybe the outlook with what’s happening in the US.
Robert Kwan: Yes, and I’m thinking just a little bit more in terms of creating incremental demand for butane and what that might do to your outlook for butane as it relates to the feedstock and the AEF?
Dean Setoguchi: I think that is, I think your comment is probably a fair assessment. With respect to all of the NGLs industry throughout North America has been looking for ways to create more demand for the increased production of NGLs, ethane, propane, butane and condensate across the board. We’ve seen a lot of capital invested in projects to take up the ethane and the propane, not so much on butane because there is kind of fewer options. So, I think it is possible that that would contribute to some additional demand for butane that project that you are referring to. And we have seen butane prices a little bit stronger lately than they were in 2015, but we still, we are still relatively optimistic that the butane feedstock for AEF will be at a pretty reasonable cost for the foreseeable future.
Robert Kwan: That’s great. Thank you very much.
Operator: Your next question comes from the line of Robert Catellier of CIBC World Markets. Your line is open.
Robert Catellier: Good morning. Just a quick follow-up here on Keylink, it sounds to be that you do have an appetite to take some of the economics on spec here rather than have it fully contracted, is that correct?
David Smith: I think that’s fair Rob. We have, as Dean already mentioned, the initial volumes for the pipeline come from eight plants that Keyera operates. So, clearly point of view we have a high degree of confidence and what we’re planning to with respect to tariffs is to make sure that it’s more economically attractive than the other options. So, it benefits our customers in that way.
Robert Catellier: Understood.
Brad Lock: We also believe that the base volumes that we’ll track from our eight gas plants will generate a base rate of return that is acceptable to us that we certainly want to offer from there.
Robert Catellier: So, I will throw my head in the ring and wanting some sort of gauge of volume capacity on the line, so when you get around to putting it into the market, understanding it is a system, maybe just focus on the trunk line and the part that can actually feed into Rimbey how much capacity might be able to go into Rimbey, so moving on to another question here, what do you see the implications of a long term fixed price agreement on the TransCanada mainline to Keyera’s operations?
Brad Lock: Do you know something I don’t know?
Robert Catellier: Just curious.
Brad Lock: I mean that’s been the subject of lots of speculation Rob, and I’m no closer to it than anybody else. I think certainly we believe that the Western Canada Sedimentary Basin is very competitive with - from a cost of point of view with all of the resource place throughout North America. The issue for the producers is the cost of transportation to market and so if we can get a solution to that that leads to a lower tariff on the TransCanada system that would be positive for the entire basin I think and indirectly for us. The TransCanada system has lots of capacity, it’s just a matter of pricing that on utilized capacity at a level that makes sense and makes the producers in Western Canada competitive with the producers from elsewhere in North America.
Robert Catellier: But if there is sort of a revised tariff and maybe rekindling volumes there, it is meant to address the [indiscernible] so do you think there is more competition from the straddle plans at that point or is there still plenty liquids being taken out in the field?
Brad Lock: We don’t go straddle plants as competition for our field processing. The President has well established that the our plants are all fuel plants field plans and we have - we and our customers the producers have the full rights to extract whatever NGLs make sense and to meet the pipeline specifications. So, we don't see any change in the TransCanada tariff to Ontario as being something that would affect that. I think the bigger impact would be the improved economics for the producers that I think would eventually lead to more activity and more volume.
Robert Catellier: Okay. Thank you. Go to all my questions. Thanks.
Operator: Your next question comes from the line of Joe Camino of Morningstar. Your line is open.
Joe Camino: Thank you. My questions have been answered already. I appreciate it.
Brad Lock: Thank you, Joe.
Operator: Your next question is from the line of Andrew Kuske of Credit Suisse. Your line is open.
Andrew Kuske: Thank you, good morning. Maybe just a little bit of clarity on the actual location of the 1,290 acres you bought, is it west of Raines Road 240 and then South of Township Road 554?
Brad Lock: That is a little specific. It is east of our key area of Fort Saskatchewan site, Dow has a pretty significant property to the east of us and we are on the other side of Dow. So, again it is about 1.400 acres and one of the things we really like about that land is that it is right adjacent to Josephburg rail terminal and from that site it is fully connected to our Fort Saskatchewan frac and storage complex. So, we can access everything, all the connections that we have at our Fort Saskatchewan site at the Josephburg rail terminal so having this extra line there makes it even more valuable.
Dean Setoguchi: Andrew we can help you. We can pull out a map and help you understand where it is, but it is south of Shell Scotford Refinery, it is west of the TransCanada Heartland Terminal, just adjacent to our Josephburg terminal and just east of our Fort Saskatchewan facility. So it is really right in the heart of the industrial heartland and with the existing, with the number of existing large standard pipelines through this site. As Dean mentioned earlier, it is right next to the highway, it is right next to the sea and main rail line. So, it’s just a tremendous location.
Brad Lock: It is actually very close as well to inner pipelines proposed PDH facility as well.
Andrew Kuske: And just as a follow-up to this and I think Dean you mentioned you've got the ability to do caverns here, if you could just wrap the scale of the 1290 in the context of what you've already got at Fort Sask and just your physical footprint there, how big is that footprint, just by way of comparison?
Dean Setoguchi: It is about four times the size of our Fort Saskatchewan facility today or site today. It’s very large.
Andrew Kuske: And then from a permitting standpoint on the salt caverns and the rates you have on that, what would be the parallel on a comparative basis between what you could potentially do and what you have at Fort Sask?
Dean Setoguchi: Well first of all we haven't fully developed the capacity of our South caverns at our existing Fort Saskatchewan site, but when that is fully developed. It would be more than double the capacity. So, we can develop caverns for decades, there is a lot of capacity on that site.
Andrew Kuske: Okay. That's very helpful. Thank you.
Operator: You have a follow-up question from the line of David Noseworthy of Macquarie . Your line is open.
David Noseworthy: Thank you. Just two quick question. Are there any opportunities to expand the baseline storage terminal to [indiscernible] expand or is that property already fully build out?
Dean Setoguchi: No we do have room for additional tankage and I can give you an exact number, I believe it is about 3 million barrels of additional capacity that we could add on existing site.
David Noseworthy: And you have any idea of, in terms of timing that you might look at something like is it still pretty expectable is that something that we might see in the next year or so?
Dean Setoguchi: Well it is obviously driven by customer demand, but certainly if the Trans-mountain pipeline expansion continues to advance, I think that would be promising for, again for the demand for above ground storage.
David Noseworthy : Perfect. And then lastly, this may be too early, so if it is no worries. Are you getting any indications where fractionation rates will be going post April 1, compared to 2016, 2017 rates?
Steven Kroeker: It is early to tell. I guess, all I can say at this time is it is a competitive environment just because of frac capacity that’s been added over the last couple of years.
David Noseworthy: Okay. Thank you very much.
Operator: There are no further questions at this time.
Lavonne Zdunich : Thank you, Jodi. That completes our year-end 2016 conference call. If you have any questions, please feel free to call the investor relations team. Our contact information is in yesterday's release. Thank you for listening, and have a great day.
Operator: This concludes today's conference call. You may now disconnect.